Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to SeaWorld Entertainment's Fourth Quarter and Full Year 2015 Financial Results Conference Call. My name is Michelle, and I will be your conference operator today. At this time, all participants are in a listen-only mode. After conducting their prepared remarks, the management team from SeaWorld will conduct a question-and-answer session and conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Mr. Mark Trinske, Vice President of Investor Relations. Please go ahead, sir.
Mark Trinske - Vice President-Investor Relations: Thank you. Good morning, everyone, and welcome to our fourth quarter and full year 2015 earnings conference call. Today's call is being recorded and webcast live. Our earnings release was issued this morning and is available on our Investor Relations website at seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me on our conference call this morning are Joel Manby, our President and Chief Executive Officer; and Peter Crage, our Chief Financial Officer. On today's call, we will review our fourth quarter and year-end 2015 financial results along with recent factors impacting our business. And then we'll open the call to your questions. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section in our most recently filed annual report on Form 10-K, which from time to time may be updated in our periodic filings with the Securities and Exchange Commission and are available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we will reference certain non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of non-GAAP financial measures to the most comparable GAAP measures are included in the earnings release and can also be found in our filings with the SEC. Now I would like to turn the call over to Joel Manby. Joel?
Joel K. Manby - President, Chief Executive Officer & Director: Thanks, Mark. And good morning, everyone, and thanks for joining us today. As we shared with you in November, we are taking action on a number of fronts, as we continue to stabilize the business and turn the corner toward growth. We ended the year continuing to see signs that the business is stabilizing, as we recorded revenue and attendance growth in the fourth quarter, and reported adjusted EBITDA for 2015 within the guidance range we provided in November. Our free cash flow also improved more than 8% to $90.9 million in 2015, enabling us to return $117 million to shareholders in the form of dividends and stock repurchases, despite a challenging and transitional year. Last week, we announced changes to our leadership team in order to support the execution of our plan. These changes put the right talent in the right roles and are an important step on our roadmap to stabilization and growth. John Reilly, current SeaWorld San Diego Park President, has been promoted to Chief Parks Operations Officer. And Dr. Chris Dold, current Vice President of Veterinary Services, has been promoted to Chief Zoological Officer. These changes will both be effective April 1st. Both John and Chris are outstanding leaders with proven track records and deep operational expertise that will allow us to drive forward our strategic priorities. At our SeaWorld San Antonio Park, Carl Lum has joined the team as Park President. Carl showed great leadership during his tenure at our Virginia parks, overseeing an improvement in operational performance and achieving consistently high satisfaction scores and EBITDA growth while at Busch Gardens Williamsburg. Since John Reilly will transition to Orlando in April, we also announced that Marilyn Hannes was promoted to lead our California location as Park President. Marilyn is a hospitality industry veteran with more than 25 years of experience leading marketing and advertising programs, including her most recent post as Corporate Vice President of Global Sales, and before that Vice President of Marketing and Sales at SeaWorld San Diego under John's leadership. Her firsthand knowledge of the California consumer market and the political environment there will be a great value as we modify some of our park offerings based on guest feedback at that location. We are encouraged by our fourth quarter results, meeting our guidance for the year, generating strong cash flow, as I discussed. Now at the same time, I want to remind all of you that the improvement in our results will not necessarily be constant or linear. For instance, the start of 2016 has been softer than we hoped in Florida due to a few factors. First of all, we had uncharacteristically wet weather during the month of January, which was a significant headwind, with two of our most significant parks in Tampa and Orlando having a combined 27 operating days of unfavorable weather versus only seven days in the same period of 2015, so nearly four times as many rain days in January as last year. Now, over the course of the year, of course, the effect of weather will typically even out. But in the short run, it can and did have an adverse impact in Florida. Second, we have also seen demand pressures in international attendance. Our internal indicators show the majority of the international shortfall is coming from Latin American guests, driven by, we believe, the strong dollar's impact on tourist spending. To manage this going forward, we've already modified our international marketing to reflect more appropriate ticket offers in light of the foreign exchange pressures, and we are working closely with our wholesalers in key international markets to increase awareness and our competitive positioning. As a reminder, in recent years, the first quarter is the smallest of all of our operating quarters, accounting for about 15% of our annual revenue. Now looking ahead to the rest of the quarter, we expect the first quarter to benefit from the timing of Easter and spring break holidays as Easter will shift into the first quarter this year. And in addition, we're very excited about our two new rollercoasters in Florida. Mako, the longest, tallest and fastest coaster in Orlando, is planned to open at SeaWorld in June. The coaster was topped out last month at 200 feet and is changing the skyline with each passing day as it nears completion. Our guests are getting excited about riding our newest attraction in Orlando, and actually I'm getting pretty excited as well to take Mako for a ride. In addition, Cobra's Curse, opening this summer at Busch Gardens Tampa, will deliver family-friendly thrills on this unique spinning coaster. I recently visited both construction sites, and I'll tell you the rides look fantastic and will really deliver. I look forward to all of you taking a ride in Orlando or a spin in Tampa. Our marketing teams are gearing up for a strong launch of both rides with a multi-faceted, integrated campaign ramping up to full steam soon. In addition to the two coasters in Florida, Discovery Point in San Antonio will debut in May and includes a new dolphin habitat and underwater viewing area. We're also excited to offer our San Antonio guests more options when they choose to visit our parks by opening a separate gate for our Aquatica San Antonio waterpark. In the past, guests could only access Aquatica after first purchasing an admission to SeaWorld San Antonio. With the new gate, guests can purchase a separate stand-alone ticket to Aquatica San Antonio, which also provides us the ability to market multi-park tickets at this location. In November, I told you our five-point plan, and one of those points was organic and strategic revenue growth. To that end, we're pleased to announce progress in our international expansion. Last week, we moved to the next phase of our international development strategy with our Middle East partner, extending the memorandum of understanding and entering into an interim advisory services agreement. Under that agreement, certain funding will offset some level of our internal expenses as we now move toward definitive agreements. In addition, I hope you saw our press release that Steve Iandolo, who helped Universal Studios and Herschend Family Entertainment build four resorts combined, has joined our newly formed Resort Development Group. Now, switching from annual operations and growth to our corporate governance, I want to mention that Joe Baratta, whose current three-year term as a Director expires this year, has indicated that he will not stand for re-election to the board at this year's annual meeting and will step down, either following the meeting or as soon as we have named a nominee to fill his seat. Joe and Blackstone remain supportive of our current plan and direction. But due to his steady increase in professional responsibilities at Blackstone as Global Head of Private Equity, Joe did not feel he could continue to devote adequate time to his Director role for another three-year term. Joe has served on our board since 2009 and has brought to the board a highly constructive perspective. We are very grateful to Joe for his service, and I will miss his savvy and straightforward advice and counsel. Peter Wallace, a Senior Managing Director at Blackstone, will remain a valued board member. The nominating and corporate governance committee of the board will be reviewing potential board candidates and continue to focus on ensuring the board maintains the right combination of relevant experience, capabilities, and expertise. We are working very hard to deliver shareholder value as we work through the inevitable bumps in the road. And with that, I'll turn the call over to Peter to walk through our 2015 financial results and early year indicators.
Peter J. Crage - Chief Financial Officer: Thanks, Joel, and good morning, everyone. Our top line and attendance trends improved in the fourth quarter, and we are working hard to continue to stabilize our business fundamentals and bring renewed financial discipline to this great company. For the fourth quarter of 2015, we reported total revenue of $267.9 million, an increase of $3.3 million versus the fourth quarter of 2014. Total revenue per capita increased to $60.77, up from $60.60 in the fourth quarter of 2014. The increase in per capita was driven by an increase in in-park per capita spending to $22.88 from $22.51 in the prior-year quarter, reflecting culinary price increases. Admission per capita decreased slightly to $37.89 from $38.09 in the prior-year fourth quarter. Attendance in the fourth quarter of 2015 increased by approximately 43,000 guests, or 1%. The improvement reflects a favorable operating schedule for our fall events, offset by a decline in attendance at our Texas location. I will go into detail on the drivers of the performance in Texas and the operational adjustments we have made to improve its results in just a few moments. We reported a net loss of $11 million or $0.13 per diluted share, an improvement over the net loss of $0.29 per diluted share reported for the fourth quarter of last year. Adjusted net loss was $9.6 million or $0.11 per diluted share, again improving over the adjusted net loss of $17.8 million or $0.20 per diluted share in the prior year. Now turning to our full year 2015 results, the company generated total revenue of $1.37 billion, a decrease of $6.8 million from 2014. The slight decrease in total revenue was driven by a 0.8% decrease in total per capita, partially offset by a 0.3% increase in attendance for the year. The decrease in total per capita to $61.01 in 2015 from $61.51 in 2014 was the result of a 1.8% decrease in admission per capita spending, primarily due to an increase in promotional offerings and passholder visitation along with an unfavorable shift in the park attendance mix compared to last year. In-park per capita spending increased to $23.32 in 2015 from $23.14 in 2014. Attendance for 2015 increased by approximately 72,000 guests or 0.3%. Attendance improved at all but two of our park locations. This positive trend in attendance was primarily due to increased promotional offerings, strong passholder visitation along with additional consumer event programs, and a favorable operating schedule due to the later timing of Labor Day in 2015. The impact of these factors was largely offset by reduced attendance in Texas and California. As we discussed in our last earnings call, the decline in Texas primarily related to a reduction in passholder visitation due to changes made to the Fun Card product along with a lack of significant competitive offerings. To address these challenges, the company changed the Fun Card product for Texas. And to enhance our competitive positioning, we will open our new attraction, Discovery Point, and SeaWorld San Antonio this May. Finally, as Joel mentioned, we implemented leadership changes at this location last week, with Carl Lum joining the San Antonio team as Park President. Carl's breadth of financial and operational expertise will be critical as we work to improve the performance of our San Antonio operations. The decline in California in 2015 primarily relates to continued SeaWorld brand challenges at this location. Despite these challenges, however, revenue and adjusted EBITDA trends improved during the second half of 2015, with the rate of decline slowing on a year-over-year basis when compared to the first half of 2015. The recent improvement at our California location is evidence that our ongoing reputation campaign has experienced some success. On the expense side, cost of food, merchandise and other revenues decreased 4.6% to $104 million in 2015 from $109 million in 2014. These costs represent 19.8% of related revenue in 2015 compared to 21% of related revenue last year. The improvement is a result of our active cost initiatives, including executing on our leveraged buying efforts. Operating expenses decreased 2.6% to $708.7 million in 2015 from $727.7 million last year. The decrease in operating expenses was a result of cost saving initiatives implemented in December of 2014. SG&A expenses increased 13% to $214.1 million in 2015 from $189.4 million last year. The increase was largely related to additional consulting costs, an increase in labor related costs primarily attributed to new equity grants awarded in 2015, an increase in marketing costs related to our ongoing reputation campaign, and an increase in legal fees when compared to the prior year. Adjusted EBITDA, which we believe is an important metric, as it eliminates the effect of certain non-cash and other items, not necessarily indicative of our underlying operating performance, was $361.1 million for 2015 and within the guidance we provided in November of last year. This represents a decrease of 2.4% from $370.1 million in 2014, reflecting a decrease in total revenue along with an increase in SG&A expenses, partially offset by the decrease in operating expenses for 2015. Depreciation and amortization expense increased 3.5% to $182.5 million in 2015 from $176.3 million last year. This increase was due primarily to approximately $5 million of accelerated depreciation related to the closure of Gwazi, a wooden roller coaster, at our Busch Gardens Tampa park, along with additional depreciation due to the impact of new asset additions, offset by fully depreciated assets and asset retirements. I'd like to touch on depreciation and amortization expense for 2016. In January of this year, we made a decision to remove the deepwater lifting floors from our killer whale habitats at each of our three SeaWorld theme parks. These deep-water lifting floors were intended as another safety tool for conducting in-water training in the deeper pools. But after having safely and successfully conducted this training of our killer whales in the smaller medical pools for almost four years, the deep-water lifting floors in the deeper pools are no longer needed. So as a result of our decision to remove these lifting floors, we expect to record approximately $33 million of accelerated depreciation, primarily in the first quarter of 2016. Also, we will incur additional equity compensation expense of approximately $28 million in the first quarter of 2016. This expense is related to the vesting of performance-restricted shares tied to our accumulated return of cash proceeds to investment funds affiliated with Blackstone and which triggered to vest with this week's dividend declaration. While both the accelerated depreciation and equity compensation expense are excluded from adjusted EBITDA, they will impact both net income and earnings per share. Total interest expense decreased 19.6% to $65.6 million in 2015 from $81.5 million last year, due to the early redemption of our 11% Senior Notes earlier this year, which were replaced by our new Term B-3 Loans with an effective interest rate of 4.33% at December 31, 2015. Net income decreased 1.6% to $49.1 million in 2015 from $49.9 million last year, while diluted earnings per share remained flat when compared to last year at $0.57 per share. Turning to the balance sheet for a moment, we ended the fourth quarter with $19 million of cash and $15 million drawn on our revolving credit facility. Total long-term debt, including current maturities, was $1.6 billion. And our net leverage ratio at the end of the fourth quarter was 4.38 times adjusted EBITDA. Based on our year-end leverage ratio, which is remeasured quarterly, at this time, we have $120 million of restricted payment capacity for 2016. And as Joel mentioned, we returned capital to shareholders in 2015, including paying $72 million in dividends and repurchasing 2.4 million shares at an average price of $18.62 per share, leaving $190 million available for future repurchases under our board-approved plan. We are encouraged that we have seen a dramatic reduction in the decline of adjusted EBITDA year-over-year when compared to the 2013-to-2014 timeframe. This continued stabilization of the business is a critical first step to our ability to grow in the future. And even at these performance levels, we still returned more than $117 million in capital back to our shareholders through dividends and stock repurchases, while funding our CapEx needs with only a modest increase in our revolver borrowings at the end of 2015. This is a testament to the strong free cash flow characteristics of our business. And as we look to continue to improve our business fundamentals, the opportunity for thoughtful and impactful capital allocation will only improve. Now, I'd like to turn the call back to Joel.
Joel K. Manby - President, Chief Executive Officer & Director: Thanks a lot, Peter. I'd like to close with three high-level thoughts for all of you. The first thought is I feel we have the right plan. Our near-term priorities are clear. We're executing the strategy we outlined to you in November at the Analyst Day, with an intense focus on operational excellence and delivering the consistent and sustainable financial performance expected of our organization. As a reminder, that plan is on our website, but I'll summarize it quickly at a high level. Number one, evolving the SeaWorld brand to be about experiences that matter. We know that families of the future, especially the millennials, want vacations with meaning. Nowhere else can consumers experience so much family fun and togetherness, while also making the world a better place for animals and their habitats. Number two, distinct guest experiences. We're going to leverage our full palette of hundreds of rides, shows, restaurants, shops and festivals, as well as 800 species of animals, to create a truly unique guest experience. Number three, organic and strategic revenue growth. I mentioned progress earlier on the Middle East project as well as our resort strategy, and also stabilizing and hopefully then growing organically. Number four, we are dealing with our brand issues head on. And finally number five, financial discipline. The second high-level thought is we have the right people. We have new senior leadership throughout the company, highly experienced leaders with a good mix of executives from outside the company to promote new thinking, but also internal promotions to demonstrate our bench strength and ability to promote excellence from within. And the third thought, we're taking action. We are addressing our challenges and making the tough decisions that will allow us to focus on returning to consistent growth and enhanced shareholder values. I'd like to close by thanking all of you for your ongoing support. We continue to stabilize and grow the company. And with that, I'll open up the call for questions.
Operator: Your first question comes from Tim Conder from Wells Fargo Securities. Your line is open.
Tim A. Conder - Wells Fargo Securities LLC: Thank you. Joel and Peter, a couple of things. First on the removal of the deep-water pool floors, Peter, you gave us what that's going to be in accelerated depreciation and sort of one-time cost type of thing, but I would suspect there is some pretty decent cost associated with the ongoing operation of those floors on that. What type of savings can we expect from that? And then, on the 200 basis points to 250 basis points of sort of corporate level cost savings that you outlined on the prior call and at your Analyst Day, what type of timeframe could we see the realization of that also?
Peter J. Crage - Chief Financial Officer: Sure. Good morning, Tim. With regard to the floors, the savings, there is savings there, but it's not significant. It's fairly insignificant to the future. On your second question, as we talked about back in November, this cost reduction plan is probably a three-year plan, and we've done a few things. Number one, this year, we've moved at the corporate level to zero base budgeting and we have a renewed focus on really thinking about how we spend our money. And we're going to be looking as well at some opportunities for Lean process improvement. The one challenge, though, that we'll have that we think is a good use of money is the ongoing reputation campaign. My comments were that we believe it's worked in California. And so that's a cost that we expect to have abate over time, but this year we expect that to continue. So that's what we're doing with regard to costs, a little bit – we have some good news on that in that we're making headway at corporate, but also we have these other costs that we believe are well spent.
Tim A. Conder - Wells Fargo Securities LLC: Okay. And then any more color you gentlemen can give us on the sequential trends in San Diego, whether attendance, revenue, adjusted EBITDA, third quarter, fourth quarter on a year-over-year basis? And then on the international comment that you made regarding Florida here, I think Tampa is pretty heavily skewed to locals, but Orlando is maybe your heaviest skew to the international guests. Whether you want to comment Florida as a whole or Orlando, Tampa separately, just remind us where 2015 ended as far as international guests versus U.S. domestic guests in those parts.
Joel K. Manby - President, Chief Executive Officer & Director: Sure. Hey, Tim, it's Joel. I'll take a cut at that. On California specifically, what we are willing to say is we have seen a really strong improvement in the rate of decline of revenue and adjusted EBITDA. We were still slightly negative, but much, much less so in 2015 than 2014. We have announced the addition of Ocean Explorer in 2017. We haven't had really strong capital there in quite a while. So it'll be nice to talk about something new. It's really a realm, not just a ride – multiple aquariums, exciting rides and digital technologies to engage our park guests in really an experiential adventure of the ocean. That's coming in 2017. And then we are also looking at 2018 as well, but not prepared to make any announcements there. So we feel like we're on the right track. And as Peter said, with our reputation spend, we do feel like that spending will continue, and then our theory is it will decline over time, and that also will be part of the cost savings, to reiterate Peter's point. Switching to Florida, you're right. Tampa does have less international mix than Orlando. And what we're doing is trying to adjust what we see coming out of Brazil. First of all, the common sense thing to do is we're shifting some ad dollars into our drive in overnight markets for both Florida parks because the demand's pretty strong there. We're seeing more promising results. The U.S. economy is still fairly robust, even with the stock market drop. But Brazil, we do see some issues there. So we're shifting our money where we can make more hay, and we're also introducing some strong promotions into the international markets. And we're also trying to really push our festival strategy again with driving overnight guests. So I think the other things that we haven't mentioned so far that's important to know, our rides, our big rides that I mentioned in Mako and then Cobra's Curse are not going to open until May or June. So we're going to see a little bit of shift, and that's why we were slightly cautious in our comments about the first quarter, is that the end of the second quarter and the third quarter is when those rides are going to open and we'll see the most bang in those quarters. I want to make it clear though that, for the future, we are driving – and part of Anthony's responsibility in creative is to pull our rides forward more into March timeframe and have more discipline there. I don't like opening rides in June, but having said that, it's still the peak time of year. But that is why we'll make more hay in the end of the second and into the third quarter.
Tim A. Conder - Wells Fargo Securities LLC: And Joel, just sort of where the international mix versus domestic mix was, any color on that?
Peter J. Crage - Chief Financial Officer: This is Peter, Tim. In Orlando, it's obviously – 15%, we disclosed publicly 15% company-wide, but I will tell you that in Orlando that percentage is higher. And clearly this time of year with Orlando being a larger portion, although it's a smaller quarter, a larger portion of our revenue, the international visitor has a bigger impact.
Tim A. Conder - Wells Fargo Securities LLC: Okay, okay. Thank you, gentlemen.
Joel K. Manby - President, Chief Executive Officer & Director: Thanks, Tim.
Operator: Your next question comes from Felicia Hendrix from Barclays. Your line is open.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thank you so much. So as kind of a segue from part of Tim's question, it sounds like for the year-end, the cadence, you might be a little more weighted towards the middle of the year just because you have the ride opening, which is going to have a big impact. So regarding the first quarter, it's a smaller quarter, but it's a pretty tough comp. So you have the weather-related headwinds, but you do benefit from an early Easter. So just wondering, as we think about that, can the combination of those, plus just the initiatives that you're implementing, be enough to drive growth in the first quarter?
Joel K. Manby - President, Chief Executive Officer & Director: Well, it's a good question, Felicia, and good to hear your voice. You're right. We have the negative headwinds we talked about, but we also do have the Easter shift into the first quarter, so that will offset. And then in the end of the second quarter, we have two coasters starting. So we aren't ready to say exactly how that plays out, but you are right in your analysis.
Peter J. Crage - Chief Financial Officer: I think, just to follow up on Joel's comments, we still have more of the first quarter to go, and we're hopeful that Easter does pull back in some of the softness we have seen, but again it's too early to tell. But the cadence, though, you make a great point on cadence, softness early part of first quarter. Easter moves into first quarter and moves out of second quarter. But as Joel pointed out, the rides are new, impactful, capital moves into second quarter. And then summer, the third quarter really is the quarter that we believe should be obviously our strongest quarter and should be strong given the capital.
Felicia Hendrix - Barclays Capital, Inc.: Okay. That's helpful. Thank you. And then just looking a little bit backwards looking, just regarding the results in the quarter, I'm curious about the cadence through the fourth quarter, because when you reported earnings it was the first week in November, but you came in at the low end of guidance. So I was just wondering what happened in November and December.
Joel K. Manby - President, Chief Executive Officer & Director: Well, as we pointed out in that call, we felt pretty confident in where we'd be revenue-wise, but we did have some pressure on costs from legal expenses and some additional reputation spend, and it played out pretty much as we had predicted.
Peter J. Crage - Chief Financial Officer: And adding to that, as Joel pointed out, Texas did improve sequentially from the first half, but there was some embedded weakness there that occurred particularly in season pass early in the year that we thought might be a little bit more robust in the latter part of the fourth quarter, but it just didn't transpire. So mainly costs, but also just a little bit continued softness in Texas.
Felicia Hendrix - Barclays Capital, Inc.: I appreciate that. That's helpful. And just last one, you guys definitely had nice free cash flow in the quarter, but if you just look at your cash balance, we're looking back and it looks like it's the lowest cash balance in the history of the company. So I'm just wondering if you could talk about your balance sheet for a moment and get us comfortable with the $19 million.
Peter J. Crage - Chief Financial Officer: Sure. Well, as we pointed out, we made share repurchases at the end of the year and financed all of our CapEx needs with an increase in – a small increase in our revolving credit facility. In addition, because we drove $90 million in free cash flow, that $117 million required not only a draw on the revolver, but also the use of some cash, plus or minus, working capital changes as you might expect. We're keeping an eye on that clearly. We want to be opportunistic about repurchasing shares and returning capital to our shareholders. But we're keeping an eye on that. I think we're comfortable right now, we have adequate liquidity. But clearly it's a great point to bring up and something we'll look at.
Joel K. Manby - President, Chief Executive Officer & Director: I'll add to that. It's something that Peter and I spend a lot of time on, Felicia. We have a capital plan looking forward that is all within our free cash flow capabilities at our current levels. We feel very good about that plan, and it entails continuing to do what we've been doing. So we are very focused on that issue.
Felicia Hendrix - Barclays Capital, Inc.: So for our modeling purposes, what's your optimal year-end cash that we should think about – cash level that we should think about?
Peter J. Crage - Chief Financial Officer: Well, it's been in the sort of $35 million to $45 million range. It was $43 million last year. I would say to you given the fact that we expect this year, obviously we won't be providing guidance on this call, that we have a stronger year, last year $43 million, I might model between $25 million and $45 million, in that range.
Felicia Hendrix - Barclays Capital, Inc.: Thank you so much.
Peter J. Crage - Chief Financial Officer: Sure.
Operator: Your next question comes from Barton Crockett from FBR Capital Markets. Your line is open.
Barton E. Crockett - FBR Capital Markets & Co.: Okay, great. Thanks for taking the question. I was wondering about the margin outlook. I know your goal for improvement is articulated over a few years. But as you look into this year, you're coming out of a fourth quarter where your margins went down. You've got some cost pressures. Can you give us any sense? I mean, as you progress towards this goal, are you looking for cost to actually continue to go up in 2016 or do you think there is any flattening out there we can see in the trend? That's one question. And then the other question is on the international visitation. I was just curious if that's falling off more coming into this year or if you saw that in the fourth quarter, because we look at some of the Orlando visitation data and it would argue that there's still strong kind of traffic internationally coming into the Orlando airport and actually an uptick in kind of visitation domestically. So is that a more recent development or were we seeing that last quarter?
Peter J. Crage - Chief Financial Officer: Hi, Barton. It's Peter. On the costs and our margin expectations, clearly our goal this year is about one-third of the three-year goal, so say 75 basis points. As I mentioned, we do have some cost pressures that continue, and one of those being the reputation campaign. We don't want to be foolish about cutting that for the sake of driving margins. So we're focusing our attention, as I mentioned, on our corporate costs and trying to find ways to reduce those costs. As I mentioned in November, we're hitting that now, timing of that. Again, our goal is 75 basis points or so. So that's my sense right now. We will keep, obviously, you and others posted as we progress, but we think we have a good plan in place, a renewed focus. People are on board. They understand what we're trying to do here, and I think we'll be successful.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. On the international question, we did see a little of it in the fourth quarter. We knew that Brazil's currency – I think their currency has deflated about 60% versus the U.S. dollar. And so we anticipated that. It started in the fourth quarter, but it's a little bit more in the first quarter of this year.
Barton E. Crockett - FBR Capital Markets & Co.: Okay, great. Thanks.
Peter J. Crage - Chief Financial Officer: We...
Barton E. Crockett - FBR Capital Markets & Co.: Go ahead.
Peter J. Crage - Chief Financial Officer: No, go ahead, that's fine.
Barton E. Crockett - FBR Capital Markets & Co.: Yeah. No, I was going to say that's helpful color. And...
Joel K. Manby - President, Chief Executive Officer & Director: Now, remember, the airport visitations too do include the – definitely have all the – this is a strong season, too, for convention business and so forth, but there's no doubt it also impacted our business.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. All right. Thank you.
Operator: Your next question comes from Afua Ahwoi from Goldman Sachs. Your line is open.
Afua A. Ahwoi - Goldman Sachs & Co.: Thank you. Good morning. Just a few questions from me. First on the Ocean Explorer attraction in San Diego, can you walk us through where you stand on the approval process? Do you have approval for that? And maybe while you're at it, can you maybe give us an update on where the litigation stands as it relates to the Blue World? And then, I'm actually a little surprised on the comments on how much focus there is on the January results. And so just curious, how big is January to 1Q 2015 results? And similarly, how big is Florida to 1Q 2015 as well? And I'll have some follow-ups after, thanks.
Joel K. Manby - President, Chief Executive Officer & Director: Sure. Good to hear your voice, Afua. As far as submission of the 2017 attraction for San Diego, that has been submitted to the Coastal Commission. And as you know, and we've talked about this before, we have a really, really good relationship with them. We've been working with them for 30 years there and we don't anticipate any issues. It's right on time from an approval process. So we don't have any news on it, but we don't anticipate any problems there. As far as the lawsuit that we have with them, it is strictly on jurisdiction. And basically, as we've said before, with the Blue World Project, we did not feel that they had the jurisdiction to weigh in on marine mammal management issues. It's really to us a development committee or development commission. So that's what it's about. There's no status update on that at this point in time. And then on your last point, the first quarter is our smallest quarter. It's about 15% of our business. And we don't want to overemphasize the point. I think the bigger point, the more important one, is really just that the coasters open in late May, early June, and it's going to drive a lot of performance into the second and third quarters. I think that's the more important point. So don't take that as over-exaggeration of any particular point there. We feel really, really good about what we have coming in Florida, and the buzz on the ride is really, really good. It's a very similar ride to what we have in Williamsburg, that's a homerun. So I anticipate it doing really well once it opens and people see it in the skyline. Literally, you can see it driving down International Boulevard, 528, coming from the airport, and it's a beautiful-looking attraction.
Afua A. Ahwoi - Goldman Sachs & Co.: Thank you. And just one follow-up from me. So we saw great attendance from your peers, Six Flags, Cedar Fair in the fourth quarter. So just curious, as it relates to your parks, how much of the attendance growth we saw in 1Q, so that 1% or so we saw, how much of that was from your regional parks, maybe Busch Gardens versus the SeaWorld branded parks, if you can split that up, please? Thanks.
Peter J. Crage - Chief Financial Officer: Yeah. Afua, it's Peter. We don't split it out. I think as we mentioned, to give you a sense and some clarity, we saw at SeaWorld California sequential improvement in the second half. We saw continued softness, not as great sequential improvement in Texas. And all the other parks performed pretty close to where we expected them to perform.
Afua A. Ahwoi - Goldman Sachs & Co.: Okay. Thank you.
Operator: Your next question comes from Scott Hamann from KeyBanc Capital Markets. Your line is open.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Thanks. Good morning. On the season pass and advance purchase commitments, I know that's been a pretty big focus, the simplifying those programs. Can you give us a little bit of detail around what successes you might have had kind of in the off season moving into this operating season?
Joel K. Manby - President, Chief Executive Officer & Director: On what issue...
Peter J. Crage - Chief Financial Officer: Season pass.
Joel K. Manby - President, Chief Executive Officer & Director: I think we cut out.
Peter J. Crage - Chief Financial Officer: Yeah, season pass.
Joel K. Manby - President, Chief Executive Officer & Director: Our strategy is to simplify our offerings, which we're making progress, but as you know this turnaround is going to take time. And we didn't have enough product and we had reputation issues. So I think our language got pretty noisy out there. So we're trying to simplify our message and then also, as we market Fun Card versus season pass, always show that season pass is the best value and market them at the same time and try to improve the per-caps that way. The per-caps on season passes and the total dollar volume on season pass, I should say, is substantially higher. So those are things we're trying to move towards, and I'd say we had some success in the messaging. And I think over time, we will train our customers that way, but it does take time.
Peter J. Crage - Chief Financial Officer: And Scott, just a couple of clarifying points on this, on the metrics, if you will. You'll see when the K comes out tomorrow that deferred revenue is essentially flat. Last year, in fact, it had declined and we had a pretty decent season pass year last year. And a couple of things, when you look at our peers, Cedar Fair, Six Flags, they're a very seasonal orientation and we're a rolling 12-month orientation, number one. And number two, as Joel pointed out, our capital really comes to life in the late second quarter. So we feel good about it as Joel said. But if you see those metrics, I just wanted to give you a little bit of color.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. It's a very important point that he brings up. Our season passes and for all the competitors in Florida, it's a rolling 12-month. So with the coasters opening in May and June, that's when they'll really buy the season pass, unlike Six Flags and Cedar Fair where it's a seasonal product and they sell heavily in the fall for the following calendar year. That's true for our Fun Card, but it's not true for the season pass, and that's because all the competition is that way. It's a very different factor.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay. And then just thinking about pricing for 2016, obviously you have some new capital, is that where the emphasis on the pricing is going to be? And kind of transitioning through that, how should we think about the balance between attendance and per caps kind of in 2016?
Joel K. Manby - President, Chief Executive Officer & Director: Well, we definitely want to try to get price where we have good product. So in Florida, it's where we're hoping we can price, that's our plan and that's been our strategy so far, and then also in San Antonio where we have Discovery Point and also the new water park opening up or the new gate. And again, I think it's going to be a good road forward and that's our strategy and that's our plan. And from our experience, both Peter and mine, in the industry, it will play out that way. And that's been our strategy to date.
Peter J. Crage - Chief Financial Officer: Again, on the technical side, Joel pointed out that we'll have a separate gate in San Antonio. That will, as you know, put upward pressure on attendance and likely dampen – put downward pressure on reported per capita. Obviously, the goal and our expectation is to drive total revenue. So you should be aware of that as a change from 2015.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay. And then Peter, I know you're not really giving guidance today, but is there any sense you can give us on CapEx for 2016?
Peter J. Crage - Chief Financial Officer: Yeah. I think we'll do that in the first quarter. I think that's the best time to pull it all together at the same time.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay. Thanks.
Peter J. Crage - Chief Financial Officer: I would say that when we met and spoke at the Investor Conference in November, you're not going to see a major difference from what we talked about there.
Joel K. Manby - President, Chief Executive Officer & Director: Right.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay. Thank you.
Operator: Your next question comes from Alexia Quadrani from JPMorgan. Your line is open.
David Karnovsky - JPMorgan Securities LLC: Morning, guys. This is David Karnovsky on for Alexia.
Joel K. Manby - President, Chief Executive Officer & Director: Hi, David.
David Karnovsky - JPMorgan Securities LLC: Just another question on Ocean Explorer, with that slated for 2017, I just want to make sure, is there going to be any impact on your existing attractions in 2016 as these are built up?
Joel K. Manby - President, Chief Executive Officer & Director: Impact on which attraction? I missed...
David Karnovsky - JPMorgan Securities LLC: On your existing San Diego attractions, as Ocean Explorer is built up?
Joel K. Manby - President, Chief Executive Officer & Director: No, right now we have nothing being marketed in 2016 other than we have some new festivals that we're adding there. So we have a very full festival palette, which definitely helps drive season pass attendance. In 2017, we're going to have Ocean Explorer as well as the new Orca Encounter, which replaces the existing theatrical presentation we have there. So that will be two things we can market in 2017. And then 2018, we haven't announced yet. Does that answer your question?
David Karnovsky - JPMorgan Securities LLC: Yeah, yeah. Okay. And then I understand there were some weather issues that impacted Halloween in some of your parks in Q4. But just thinking longer term, can you talk about the potential to use holiday events to drive sales in Q4 and make the quarter a greater contributor to full year profit?
Joel K. Manby - President, Chief Executive Officer & Director: We are a very strong believer in the festival strategy. We actually have incredibly good Halloween product throughout the company. Christmas, our Christmas and winter festivals in some areas are at their early stages. I really think we can have the best Christmas product in the country. I was there at Williamsburg last year, and I was incredibly impressed with it. So I think we're already doing a really good job, so I wouldn't model in huge opportunities there, but it's definitely something we can continue to tweak and get better and better as we go forward. And we definitely have very, very strong fall and winter attendance.
David Karnovsky - JPMorgan Securities LLC: Okay. Thanks a lot.
Operator: Your next question comes from James Hardiman from Wedbush. Your line is open.
Sean Wagner - Wedbush Securities, Inc.: Hey, this is Sean Wagner on for James Hardiman. Apologize if I missed it, but what was the overall benefit of cost savings in 2015 compared to 2014, and what is it expected to be in 2016?
Peter J. Crage - Chief Financial Officer: Are you talking about our planned 200-basis-point to 250-basis-point...
Sean Wagner - Wedbush Securities, Inc.: Yeah.
Peter J. Crage - Chief Financial Officer: ...cost reduction? Right, this is a program that we're initiating here in 2016. We think of it as a three-year plan, and I think cadence should be about even, 75 or so basis points each year moving forward. Now, understand there were cost-cutting programs that were initiated back in December of 2014 that had impact as well into 2015, but this is really a focus on improving our margins through cost reduction.
Joel K. Manby - President, Chief Executive Officer & Director: Correct. We really did – he's referring to Project Chicago, which was what we call it and it was a $50 million cost target. We did execute on that, but it was basically used up with our reputation spend, which we've been public about, in the $15-ish million range. And then we also had labor cost increases, and then a few other kind of the legal expenses and things we spoke to in the fourth quarter. Frankly, it ate up that, but we did execute on that. Without having done that, we would have been $50 million worse last year. And to step back from that broader, as Peter said, I think our thesis here is we are seeing trends stabilizing, and we are seeing our reputation spending in California being focused and having some progress there. So our theory is that will be able to come down over time and be part of the margin improvement, because that is incremental spend to our flat-out marketing of rides and attractions.
Sean Wagner - Wedbush Securities, Inc.: Okay. And along those lines, you've mentioned that November and December results played out how you had expected. Were legal expenses also in line with your expectations? And going forward, might they cut into any cost savings that you might see going forward? What are expectations, I guess, for legal expenses in 2016?
Joel K. Manby - President, Chief Executive Officer & Director: Well, once we revised guidance, they fell within those expectations. They weren't in line with what we started the year thinking. And that's why we – frankly, part of the reason we revised guidance, and achieved that. I think going forward for this year, from marketing and legal and just the general cost levels we had, I think they will – I would assume they're going to maintain at these levels. But again, that's part of our theory, as we're stabilizing both the business and our reputation, we do anticipate those coming down over time. But for this year, I wouldn't put too much expectation of that decreasing dramatically. But we are making progress there, we really are.
Peter J. Crage - Chief Financial Officer: We are; no question. And to follow up on Joel's comments, it's a highly regulated business and we're cognizant of that. We'll do everything we can to keep those costs to a minimum. But they are real costs to us and they're important that we incur them in the right areas.
Sean Wagner - Wedbush Securities, Inc.: Okay. And just real quick, is there any additional color you can give on the magnitude of any incremental revenue associated with your new advisory phase (52:10) in the Middle East partnership, and are there any other international opportunities still out there on the table?
Joel K. Manby - President, Chief Executive Officer & Director: I can't give any more color on it. It is not material. It is really, as I said in my comments, to cover our expenses. But it is a specific move where it went from discussion to us getting expenses reimbursed as we move towards definitive agreements. And it's a significant step, but it's not material from a modeling standpoint. And yes, we continue to look at other options. But our focus is the Middle East project and building out or buying resorts around our domestic parks. And so I don't want you to anticipate too many other international things just because the organization – the Middle East project alone is very substantial over time, and we can only focus on so many things.
Sean Wagner - Wedbush Securities, Inc.: Okay. Great. Thanks a lot for the color.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. Thank you.
Operator: Your next question, again, comes from Tim Conder from Wells Fargo Securities. Your line is open.
Tim A. Conder - Wells Fargo Securities LLC: Thank you. Joel, just your comments there on the Middle East, I wanted to circle back to that. Six Flags had mentioned on their call that their Middle East project had been pushed back from late 2017, early 2018 start to now 2019, I think due to obvious political and budgetary turmoil going on there. So the letter of intent you said was extended. Can you give us any color for the magnitude of fees and then cost here? You said those would kind of offset. And then what term is the letter of intent for?
Joel K. Manby - President, Chief Executive Officer & Director: Really other than what I've already said on it, I wouldn't model. It's not material. It's really just a cost reimbursement. And we haven't given any timeframe on when the park's going to open, and I'm not willing to do that. But that's – part of the reason I'm very pleased with what happened in the last few weeks is because of the pressures in the Middle East with oil prices and so forth, you'd almost not expect this to happen, but we've already...
Tim A. Conder - Wells Fargo Securities LLC: Right.
Joel K. Manby - President, Chief Executive Officer & Director: ...adjusted our build costs a little bit. We've got it more in line, and that's all moving forward in a proper pace, and very pleased that even given the oil price situation there that we're still moving forward. So I appreciate you bringing that up.
Tim A. Conder - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Your next question comes from Barton Crockett from FBR Capital Markets. Your line is open.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. I just wanted to ask one follow-up on the board transition, you mentioned for the director. Is the new director that you'd be looking for someone that will be from Blackstone or could it be from Blackstone or somewhere else?
Joel K. Manby - President, Chief Executive Officer & Director: Yes. It's a good question. Frankly, that would be a question you'd have to ask Blackstone directly and that – I think we're still working through that. But the governance committee is certainly involved in this and we are looking at candidates and all options at this point.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. And then just one quick number question, what you're your NOL balance at the end of the year?
Peter J. Crage - Chief Financial Officer: Right around $675 million or so, which we still believe that'll take us based on our modeling through 2020, 2021.
Barton E. Crockett - FBR Capital Markets & Co.: Okay, great. And then on the tax question, Six Flags made a filing with the IRS to potentially convert to a real estate investment trust to be kind of grandfathered in under a rule change there. Could you guys do anything like that or is that basically off the table in terms of your ability now with the rule change to contemplate something like that in the distant future?
Peter J. Crage - Chief Financial Officer: Yeah. The company, even before I arrived, took a hard look at this back in late 2014, early 2015. And given a couple of things, number one, does the company want to become a REIT and a different corporate structure, different trading structure? And number two, the NOLs were and continue to be fairly hefty. I can't tell you anything about Six Flags. I think they had a more – a dire need before they moved to a cash tax payer. We did not file, we did not file a PLR. As you know, a PLR isn't really a placeholder. It's a fully developed fulsome plan. But no, we chose the organization with our advisors, evaluated it and chose – made the decision that the right move for us given our hefty NOL was to utilize that NOL and then look at opportunities for tax efficiency over the next few years.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. And then since the topic of Six has come up, one final bigger kind of question here is, are there any – they've pursued this business model vastly different from everyone else in terms of much more season pass, much more membership, much more attendance growth. They seem to be outperforming the industry peers in revenue growth from this. Are there any lessons to be learned from that, anything to be emulated that could potentially help your top line mirror more of what they've been doing as you look at it?
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. It's a good question. Look, I have a lot of respect for Six Flags. I think Jim Reid-Anderson has done a tremendous job there. And yes, there are lessons we can learn and also our – Peter and I, our experience as well. I definitely think the season pass focus is a good one. We are already at pretty high levels, though. I think we're at about – not I think, I know we're at about 40% at the Busch Parks and roughly 30-ish-%, 35% at the SeaWorld parks. I do think Six Flags is probably coming from a lower base there. But having said that, we can always learn from the good activities and good performance of our friends at Six Flags and Cedar Fair.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. I mean I think they said they exited with 56% of their attendance with season pass membership.
Joel K. Manby - President, Chief Executive Officer & Director: Yes. And they have gone – they are higher than us, I believe, and then I think that's a lesson we can learn.
Peter J. Crage - Chief Financial Officer: And I think Cedar's disclosed they're at 40%, we're, as Joel pointed out, a blended 40%, so no question.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. All right. Thanks a lot.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah.
Operator: At this time, I have no further questions in queue. I'll turn the call back over to the presenters for closing remarks.
Joel K. Manby - President, Chief Executive Officer & Director: Well, yeah, I think – I'm looking at my notes here. I think there's probably one thing I'd add, if it's okay. We told the Street and the world, I guess, in last July 2015, we had these allegations against our company by PETA that there was a SeaWorld employee infiltrating their organization. So we announced an internal investigation, and we're posting something today on our website, actually our blog. So I thought maybe for – just to be full disclosure about it, I would read what we're posting on our blog. Let me pull my notes here. It says our board of directors is taking steps to strengthen the company's security and risk management policies and controls. They have directed management to end the practice in which certain employees pose as animal rights activists. This activity was undertaken in connection with efforts to maintain the safety and security of employees, customers and animals in the face of credible threats. The board also has directed that management strengthen oversight and controls to guide operations and security practices. We have retained Freeh Group International Solutions, LLC to evaluate current controls and develop new policies and standards to ensure best practices. All personnel matters pertaining to those involved have been handled internationally. That said, Mr. McComb remains an employee of SeaWorld and has returned to work at SeaWorld in a different department and is no longer on administrative leave. We recognize the need to ensure that all of our security and other activities align with our core values and ethical standards. As always, the security and well-being of our employees, customers and animals remain at the forefront of our business practices. The report contains confidential business information related to the company's security practices. Therefore, this will be the only statement we make on this. So perhaps not a material issue, but I just wanted to, I think, for the effort that we're trying to be very transparent with you that I didn't want that to be posted and have you guys think why didn't we talk about it on the call. So just thought I'd bring it up. I don't have other comments other than, as I said in the opening comment, I feel like we've shown you all our plan in November. So we have the plan. I think we have the people. We've made a lot of moves with people, a good mix of internal and external. And I think we've shown we can make difficult decisions. And it will be a bumpy road, it's not going to be a straight line, but I think we're making good progress. And I appreciate your all's support.
Operator: Thank you, everyone. This concludes today's conference call. You may now disconnect.